Operator: Good day, everyone. My name is Karenna, and I will be your conference facilitator for today. At this time, I would like to welcome everyone to the Live Nation Entertainment Second Quarter 2019 Conference Call. Today's conference is being recorded.Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements related to the Company's anticipated financial performance, business prospects, new developments and similar matters.Please refer to Live Nation's SEC filings, including the risk factors and cautionary statements included in the Company's most recent filings on Forms 10-K, 10-Q and 8-K for a description of risks and uncertainties that could impact the actual results.Live Nation will also refer to some non-GAAP measures on this call. In accordance with SEC Regulation G, Live Nation has provided a full reconciliation to the most comparable GAAP measures in their earnings release. The release, reconciliation and other financial or statistical information to be discussed on this call can be found in the Financial Information section on Live Nation's website at investors.livenationentertainment.com.It is now my pleasure to turn the conference over to Michael Rapino, President and Chief Executive Officer of Live Nation Entertainment.
Michael Rapino: Good afternoon, and welcome to our second quarter 2019 conference call. We delivered strong growth for the quarter, with AOI up 23%, and revenue up 10%. Each of our businesses contributed to these results, with all of them delivering double-digit AOI growth for the quarter.We continue to benefit from a strong tailwind in the live event, experience-based economy of today. The global ticket revenue for our concerts is up 16% for the first half of the year, as we continue to see a strong supply of artists touring matched with global consumer demand. And within this, the ticket revenue from concerts outside our top 100 artists is up 32% for the year, demonstrating that the demand for live music is strong and growing from the largest stadiums to the local clubs.We have created the most scalable and unparalleled business model in the industry, building a platform that brings over 570 million fans in 45 countries to live events each year.With our key metrics in concerts, sponsorship and ticketing all pacing well ahead of last year, I am confident that 2019 the company will deliver again double-digit AOI growth.Starting with our concerts business, through mid-July we have sold over 73 million tickets for shows this year, up 6% or 4.5 million tickets from the same point last year. This puts us on track to have nearly 100 million fans attend 38,000 concerts this year.In the second quarter, we had 27 million fans attend 10,000 shows, up 7% and 9%, respectively, from last year, and by far our largest second quarter ever. As a result, for the quarter we grew AOI by 33% and revenue a 11%.As we have discussed, our international business has been particularly strong through the first half, growing our fan base by 2.5 million fans with the greatest growth coming from our arenas, stadiums and theaters.Globally, we continue to work with artists to enable them to capture the value from their shows, through optimized pricing and Ticketmaster tools such as Platinum, we have delivered over $500 million in incremental value to artists since the start of 2018. Through this, we have seen no reduction in demand, and global sell-through rates across stadiums, arenas and amphitheaters is strong as ever.Further, at our venues we continue to increase average fan per spend by enhancing the fan experience, providing reasons for them to arrive earlier, spending less time in line and improving the quality of food and beverage offerings. As a result, our ancillary revenue per fan at amphitheaters to grow by $2.50 this year.Overall, we see continue to see tremendous opportunity for us to grow our global market share, both organically and via targeted acquisitions. Our just announced acquisition of OCESA in Mexico, one of the top global promoters, continues our mission of building a global fan base of 125 million. All this gives me confidence that we will again deliver double-digit AOI growth in our concerts business this year.Our sponsorship business leverages our platform of nearly 100 million fans, providing brands a unique opportunity to connect directly with music fans at scale. By continuing to attract new brand partners and expand relationships with existing ones, we grew our AOI by 12% in the second quarter and revenue by 8%.Much of the growth continue to come from large strategic partnerships, all of whom utilize a range our assets and span multiple years. This group accounts for over 70% of our total sponsorship, and the number of these sponsors has grown double-digits this year as we have added companies such as Adobe, Hyundai and Google. As a result, the committed spend by these strategic sponsors is also up double-digits through mid-July.Globally, festivals in particular provide an attractive opportunity for sponsors to engage fans at time when they are receptive to brand messages. And once again, our festival sponsorship is on track for revenue per fan to be up double-digits this year, thanks in part to a growing portfolio of marquee festivals including Lollapalooza, Rock in Rio and EDC, which are of particular interest to brand partners.Given the attractiveness of our platform to brands, and the double-digit growth in committed net revenue for the year, I expect we’ll deliver sponsorship AOI growth in the mid-to-high teens for the full year.Ticketmaster continues to demonstrate that it is the best global ticketing marketplace for venues, teams, artists and fans, with fee-bearing GTV growth of 13% at constant currency in a quarter, making it our highest second quarter GTV ever. As a result, Ticketmaster’s AOI for the quarter was up 20% and revenue up 6%.The addition of major clients such as Evenko in Canada, Chase Center in the U.S., O2 in Prague, and 150 others worldwide further validates that Ticketmaster is content’s choice as the most effective ticketing platform in the world, with leading technology to service venues, sports teams and artists, with an efficient marketplace that attracts and converts ticket buyers.Our industry-leading digital ticketing rollout is ahead of schedule, with Presence now expected to be installed at over 600 venues this year, including over 80% of major sports buildings and Live Nation amphitheaters.And as the ticket is increasingly digital, we are focused on ensuring our mobile marketplace are the easiest place for fans to buy and manage their tickets. Because of that, we have seen a continued shift to mobile ticket buying, up 22% from the second quarter last year and now account for 45% of global ticket sales to date. At the same time, we have been improving the consumer purchase process, with increased conversion both across mobile and desktop.As Ticketmaster continues to be an effective and efficient ticketing solution for content and fans alike, we expect to continue growing its GTV and result in AOI this year and into the future.In summary, 2019 is on track for the company to deliver double-digit AOI growth along with strong gains in revenue. Each of our businesses is contributing to the success, starting with concerts as we put on more shows for more fans, then continuing to monetize fans at the concert, sell more tickets to the shows, and further deliver value to our sponsors from our platform of nearly 100 million fans.With that, I will turn the call over to Joe to take you through more details of our performance this quarter.
Joe Berchtold: Thanks, Michael. Getting into our business segments, first Concerts. Live Nation Concerts AOI in the second quarter was up 33% and revenue was up 11%. Driving that growth, concerts had its highest second quarter attendance ever, and for the first half of the year we saw fan growth across most of our venue types with arenas, stadiums and theaters each up over a million fans.And as Michael mentioned, we continue to optimize pricing, providing incremental artist revenue of $500 million since the start of 2018 across all of our shows, driven largely by an increase of over 30% in front of house pricing at amphitheaters and arenas globally.Bookings of a full year, we have already sold over 73 million tickets for shows this year through mid-July, an increase of 6% and we now expect nearly 100 million fans for the full year. Our pipeline of arena and amphitheater shows continues to be very robust with over 5600 shows booked through mid-July, up 3% compared to this point last year.Our international stadiums and arenas are looking particularly strong, driven by acts such as Metallica in Europe, post-Malone in Australia and BLACKPINK in Asia. While our amphitheaters are not driving substantial fan growth this year after attendance growth of over 2.5 million last year, we continue to be very successful in driving ancillary spend per fan. And festival tickets are up double-digits through mid-July and we expect this to continue for the full year, our 100 plus festivals hosts over 10 million fans this year.We expect our theater attendance to be up over 20% for the year and part benefiting from investments to expand our footprint with new venues such as the Fillmore in New Orleans and the Observatory venues in Southern California added to our portfolio in the first half of the year.With good visibility into the full year based on mid single digit growth in global fan attendance and continued operating improvements, we're confident that we will again deliver double-digit growth in concerts AOI for the full year.Turning to our Sponsorship and Advertising business. Our Sponsorship AOI was up 12% in the second quarter, while revenue was up 8%. Most of our growth came from the sponsorship side fairly evenly split between North America and international markets.As part of the growth in strategic sponsors that Michael mentioned, we have also successfully expanded the breadth of our sponsorship categories with the addition of non-traditional categories such as fashion, beauty and retail, including companies such as American Apparel, Pantene and Asics.Additionally investments in unique sponsor experiences within our venues, including VIP viewing decks and Instagram-worthy installations have drawn new sponsors and increased spending from existing ones. Collectively, this has led to 18% year-to-date growth in sponsor committed net revenue for the year. And based on this progress, we are confident we will deliver mid to high teens AOI growth in sponsorship for the full year.Finally Ticketmaster. For the second quarter Ticketmaster AOI was up 20% and revenue up 6%. Looking at our GTV growth in constant currency, total global fee bearing GTV was up 13% for the quarter and is now flat for the full year, with second quarter growth making up for the full forward from Q1 into Q4 of last year.The increasing global fee bearing GTV was driven predominantly by a 15% increase in primary GTV. And international was the main driver of our fee bearing GTV growth up over 40% for the quarter.Concerts activity continues to drive our growth accounting for over 90% of primary GTV growth in the quarter, heavily benefiting from our theaters festivals and arena activity.Secondary GTV was flat in the second quarter with increased activity in sports, offset by lower concerts volume and overall lower international activity. Based on our results for the first half and our second half pipeline, we expect Ticketmaster to deliver mid single digit AOI growth for the full year.In summary, Q2 is an outstanding quarter demonstrating the continued strong supply and demand dynamics across all of our businesses. Looking at the third quarter, comping 50 million AOI growth last year in Q3 and impacted by some shifts in concert timing into Q2, we expect Q3 to be up mid to high single digits. And as we continue driving growth across all of our businesses, we remain confident that 2019 will be another year of record top line and AOI results.I will now turn the call over to Kathy to go through more on our financial results.
Kathy Willard: Thanks, Joe. And good afternoon, everyone. Our key financial highlights for the second quarter of 2019, our revenue was up 10% to $3.2 billion, AOI increased 23% to $319 million and operating income increased 27% to $172 million. All of our segments contributed to the increase in revenue, with concerts up $259 million or 11%, driven primarily by international arenas and stadium, along with global theater and festival activity.Sponsorship was up 8% due to growth from strategic sponsors and festivals in both North America and Europe and ticketing revenue increased 6% due to higher primary ticket fees.Our AOI growth of 23% for the second quarter was again driven by all three segments with each delivering double-digit growth for the quarter. Concerts increased by 33%, ticketing was up 20% and sponsorship grew by 12% from the growth drivers discussed above.Our operating income increased by 27% for the second quarter over last year, driven by the increase in AOI which also drove the increase in net income for the quarter to $103 million as compared to $69 million last year. For the quarter accretion of redeemable non-controlling interest was $14 million, with a diluted earnings per share of $0.41.Turning to our balance sheet. As of June 30th we had total cash of $2.3 billion, including $777 million in ticketing client cash and $1.1 billion in net concert event related cash, leaving free cash of $363 million.Net cash provided by operating activities for the first six months was $293 million compared to $520 million last year due to the timing of event related working capital. Free cash flow adjusted for the six months was in line with last year at $223 million, driven by our AOI increase, the timing of distributions to non-controlling interest partners and the maintenance capital expenditures for the first half of the year.As of June 30th, our total deferred revenue related to future shows was $1.6 billion consistent with 2018. Our total capital expenditures were $139 million for the first six months with 57% spent on revenue generating item.Our total debt as of June 30th was $2.8 billion and our weighted average cost of debt was 4.2%. For the remainder of 2019, we continue to expect that accretion of redeemable non-controlling interest will be $62 million for the full year with the remainder fairly evenly split between the remaining quarters.In Q2 we had a negative FX impact on revenue and AOI of about 2% percent, and based on current rates we expect them both to be impacted negatively by 1% to 2% in the third quarter.We expect total capital expenditures for 2019 to be approximately $310 million, with more than half on revenue generating CapEx. And we currently expect that free cash flow adjusted for the full year as a percentage of our 2019 AOI will be in the mid 50.Thank you for joining us today. Operator, we will now open the call for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from David Karnovsky with JPMorgan. Please go ahead.
David Karnovsky: Hi. Just on OCESA I know you've partnered with them for a number of years, but how did the acquisition now accelerate this both on the promotion and ticketing side in Latin America? And then just as a follow on, can you provide any detail around what you expect for the time line of regulatory approvals in Mexico and Columbia?
Joe Berchtold: Sure. This is Joe. I’ll answer those in reverse order. I think our expectations on regulatory approval with Q4 later in the year we don't know the exact timing. So we're not building it into our expectations at this point. But probably in a way part of a year and then I'll let Michael talk about how OCESA and how that's going to help us accelerate as we grow further in Mexico. Thank you.
Michael Rapino: Yes, we're excited about the acquisition. It's consistent with our ongoing strategy. We still think there's a big fragmented global business out there. A lot of bolt-ons and both the concert, festival, venue side. Some of them are chunkier than others. This happens to be a top five global business.So we think this is a overall smart business. It helps us on our sponsorship, as brands are looking more and more for global solutions. That obviously helps our ticketing business and helps our tour - our global touring business. Aside from it obviously lays a big foundation to how we can continue to build our Latin American business. So it's checks the box on an all of our core growth drivers and we'll be excited when we close in the fall.
David Karnovsky: Okay. We saw some press reports that Live Nation may potentially take majority ownership in Rock City. Can you confirm if this is the case and whether the Rock in Rio festival will be included in your consolidated results this year?
Kathy Willard: Yes. Our guidance that we will give is all - we did give result based on Rock in Rio included and we will be able to consolidate for this year's festival.
David Karnovsky: Okay. Thank you.
Operator: [Operator Instructions] We'll take our next question from David Joyce with Evercore ISI. Please go ahead.
David Joyce: Thank you. If you could please provide some more color on your sizing of OCESA and their activities in 2018 and what are the opportunities in Rock in Rio, I don't think you have the ticketing for that right now. But in the past they've also taken that to other cities. Do you have any - the plans you can talk about there yet? Thank you.
Joe Berchtold: I'll work backwards, Rock in Rio is a -- one of the top festivals in the world, probably on ticket sales over 7000 and probably it actually ranks as the biggest selling festival in the world. It doesn't happen every year, it happens every second year. And that's part of the magic and that the brand is created.So we think in itself it's a great big brand on a global basis. It obviously makes our entry into Brazil, give us some complete kind of an instant office sponsorship division to start building out our own concert business. And then as well you mentioned it will - as we try to do with all our bolt-on or acquisitions we ultimately look for ticketing synergy. In this case we don't have Ticketmaster there and we'll look to the to launch that to support our services in Brazil from there.OCESA, we don't usually talk about these until we close them because of the size we did this in this case, so we're not going to give much details today on OCESA and the numbers. Those will all be out in an 8-K when we actually close the deal and see it as a public company, so you could probably go figure out a lot of the math from the other side.But we're excited. They’re strong business vertical like ourselves with ticketing, venues, sponsorship festivals and touring. So - and then they've been our partner for years and we're excited to have them as part of our platform.
David Joyce: Great. Thank you very much.
Operator: And moving on, we’ll take our next question from Doug Arthur with Huber Research. Please go ahead.
Doug Arthur: Yes, thanks. Joe, just looking - digging into the metrics on the concert segment in the second quarter, I mean, you highlighted the growth in international. It looks like your attendance in North America was actually down, but obviously events were up, so a lot of smaller shows. Should we read in anything into that for the third quarter, you talked about the fact that the amps are not going to be the big source of growth this year? Or is this just kind of quarter-to-quarter noise?
Joe Berchtold: I wouldn't read anything into it at all. It's a combination of quarter-to-quarter and geographic bouncing around. So we've talked a lot about stadiums are very strong in international and that's where the stadium activity tends to have the bulk going on this year. So that's going to have some shift there. And whenever you have theaters is on fire as they are, that's not going to give you the same attendance per show.So again, I wouldn't read anything at all into it. Amps that incredible growth last year of over 2.5 million fans. So usually you don't see the same element in the same geography driving your growth multiple year - multiple years in a row. It tends to move around with the different pieces the growth come from.
Michael Rapino: But to give us some perspective, if you look at amps over five years they've been continually growing at a great year. We expect them to keep growing. 2018 was an exceptional growth. If you've leveled out that growth this would be a great year. And we think next year and the year after the business will continue to grow.But also we've been -- we've always said one of the great realities of Live Nation is we diversify ourself on a global and venue platform. So sometimes international happens to be a little hotter than the U.S., amps are bigger than stadiums or stadiums might be bigger than arenas that year.And that's how we've always diversified ourselves where one may maybe 50 shows less than the year before. But the other segment or the other country happened to be on fire. So that's always been our goal - our global goal of having a diverse global business. And you ride the cycles that way, but you net the overall growth continually.
Doug Arthur: And on the festival side despite - I mean, you highlighted this at the end of the first quarter that at least one or two major festivals would move into the second quarter this year versus third year ago. Sounds like you're still pretty bullish on this festival outlook for the balance through the third quarter?
Joe Berchtold: No question this is a great year for festivals, as we said we'll have over 10 million fans at our festivals this year. The portfolio continues to perform extremely well. Along with what Michael said, it's part of the reason why we're in every venue type and why we have large portfolios. So when we see the aggregate growing we can have the type of success that we are.
Doug Arthur: Okay, great. Thank you.
Operator: And we'll take our next question from Drew Borst with Goldman Sachs. Please go ahead.
Drew Borst: Thanks for taking the questions. I wanted to ask about the onsite fan spending at your amps. I noticed that you guys did increase the guidance, you expect an additional $2.50 per fan this year, up from 2. I guess the question is, as you're rolling out presence into your amps, I think one of the opportunities is to use the platform for promotions of concessions and I guess I'm wondering connecting these two things, is that part of the reason you're seeing this incremental growth? Have you rolled out those promotions at the amps using presence or is that something that's still to come down the line?
Joe Berchtold: Yes. Drew this is Joe. First of all, the shift from 2 to 50 when we gave you the two at the beginning of the May that was based on plans in place, it hadn't really had shows to speak of in a ramp yet. Now that we've had third number of shows, we're comfortable giving you more specific guidance based on what our results through the first third plus of our shows have been.As it relates to Presence, 100% agree, Presence is a great opportunity for us to engage fans on site and the per cap spending will absolutely be part of that, but it's not this year. That’s as we're getting it fully rolled out and the promotions built that'll be more of a next year and go forward opportunity.
Drew Borst: Okay. If I could ask one or two more. On the Rock in Rio festival you guys made some disclosures in 8-K when you made the acquisition about the financials of Rock City. I think I did all the math right. It looked like the last time in 2017 when they had the festival the EBITDA was somewhere on the order of $20 million to $25 million.Could you just confirm is that - that sound about right. I mean, obviously that might - hope that it grows now that you guys are sort of involved. But am I thinking about it sort of broadly correctly?
Kathy Willard: Yes, those numbers are reasonable.
Drew Borst: Okay.
Kathy Willard: And it’s a sponsorship business as well.
Drew Borst: Great. And then just lastly, probably for you Kathy. Just on CapEx, I know it looks like you're - through the six months you're at 130 up about 30%. Can you just talk about sort of the full year expectations for CapEx?
Kathy Willard: Yes, we said that we expect full year to be around $310 million at this point and over half of that's on revenue generating items. So it's including things like Presence rollout and increased benefits at the amphitheaters that’s growing that EPS just…
Joe Berchtold: We talked about some of the theaters that we've been building. So again, we think revenue generating CapEx spend growth is a good thing. It's capturing the opportunities that are out there and we think that it's running at 57% right now. We think that's a great use of the capital to keep building the business.
Drew Borst: And then sorry, just finally, really last one. On OCESA, Televisa made some disclosures about how much you're paying to them, it looks like it's about $272 million for their 40% stake, but you're also buying another 11% from CIE. Is it somewhere in the order - we're talking about like maybe 350 to 375 sort of cash outlay for this acquisition is that about right?
Michael Rapino: That's so nice. Like we should…
Joe Berchtold: I mean, the K be coming out shortly that'll have all the numbers laid out, so rather than give loose numbers now I think better - to better get that in fairly short order.
Drew Borst: Very well thank. Thank you. Appreciate it.
Operator: And we'll take our next question from John Tinker with Gabelli. Please go ahead.
John Tinker: Hi. Congratulations on a good quarter. I noticed that in the eBay numbers that StubHub was still up, I mean, volume was up 6%, revenue was up 7%. How do you think they keep growing given that you have been very effective at disintermediating the box?
Joe Berchtold: Is he going to ask me Formula 1 question next?
John Tinker: You are 60% of value Formula 1, that we should – I actually thought that Live Nation was an option on formula…
Joe Berchtold: That was a good note, I'll take it. We're not going to get into the competitor in StubHub. You've been following their numbers over the years. It's a tough business on its own. We think our businesses long term has a great global opportunity. We don't think secondary is a business in itself long term, we think it's a - it's a piece of the overall global ticketing business that we're in. So we like our global position. We like our product mix right now and we like our client base. So I'm not sure what they do.
John Tinker: I noticed that certain Event [ph] bought 48% of Front’s BLA [ph] option to take control of it in four years. So had you took a look at the rest of the world how would you sort of rank in terms of priorities the countries you're looking at or the continents?
Joe Berchtold: We wouldn't rank them. We think its -- we're in 44 countries. So, I think Event is not - nowhere near that. So we are a global business. So we look at opportunity more on a city by basis. There are great opportunities to grow in New York that we're going to invest in, as well as there are in Singapore and Tokyo.So, being as diverse as we are on a global basis we still kind of have our hit list of cities and markets where we think we're underdeveloped and whether it's a promoter or a festival or a venue, we want to fill that portfolio in a bolt-on.So you'll continue to see us shopping around the world where it makes sense to build that local market where we can drive our overall business.
John Tinker: Okay, thanks. Congratulations on the quarter again.
Joe Berchtold: Thank you.
Operator: [Operator Instructions] We’ll take our next question from Kyle Evans with Stephens. Please go ahead.
Kyle Evans: Thanks for taking my questions. Platinum looks like a great pricing solution, what inning do you think we're in for adoption. How much of the house could end up being dynamically priced? If we look out into the future and are you seeing any kind of impact on your own secondary market where I think GTV was flat in the quarter?
Joe Berchtold: Yes, I'll start then Joe can give you some background. I mean, I'll just go macro. I think we're in the - I think sports is in a very different meaning than music, which is - obviously because they're more controlled, the leagues can make global decision. So I think sports is in the sixth or seventh inning in terms of how do they price the show or their content, how do they maximize it with the right combination of pricing.I think music is in a, the second, third inning on. How do we best price our event? How do we price a Thursday show versus a Saturday, an aisle seat versus the middle at the beginning and the end subscriptions, all the different ways that the artist can engage.So Platinum is a - I think been a super tool to tell the artist that there's a great way on your on sale to get a higher price for a good seat. And that's been very successful and I think that is still early days in the overall business. If you look at how much is still being traded on secondary, I would say there's still a huge opportunity for the artists to keep looking at find that fine line between what his brand message needs to be and what his pricing strategy will be. We still think there's many innings left to capture more.And when I say capture more, I always want to remind people, it's capture more, but it's sometimes it's price it less than the back. So it's a holistic strategy right on that dynamic pricing on how do you sell up the house by the time the performers are on stage and that's a holistic perspective that they're getting smarter every day on.
Kyle Evans: The shows where I've seen and have been kind of one to two points of the total seats, where do you think that can go over time, roughly?
Michael Rapino: Yes I think we're obviously a bit higher than that across most of the shows. Clearly, a number of themselves quickly even if their pricing so you may not be seeing the full inventory, but we absolutely see room for that to continue to grow through the first 20% of the house in some cases and also further use of that pricing technology and intelligence to make sure that we're appropriately pricing all the other tickets. The other ones may not be dynamic, but there continues to be additional benefit from taking that - that machine learning, artificial intelligence and applying it to how you price the overall house.
Kyle Evans: Great. Last one, you broke apart the performance of the top 100 artists and the smaller artists and I don't recall you talking about the business that way before. Is that a trend you expect to continue going forward?
Michael Rapino: Yes, for sure. I mean, we've been – Joe and I always get asked that question who's going to be the next superstar and we've been saying it for 10 years that this is a deep business, consumers love going to the Troubadour and the House of Blues as much as the stadium. So we do 8000 club shows a year. Very few investors even acknowledge it or talk about it. We just want to talk about the Asia.So we just wanted to continually remind that at all levels going to a live show is an incredible experience for the fan. And we're seeing more and more club shows, theatres, small shows. You look at things like Springsteen on Broadway, new ideas, new residencies, Madonna going out there this year doing smaller theaters at a higher price.So I think you're just going to see more and more ways, artists will look at traditional venues, smaller venues, unique venues, sizes to keep bringing their art to the consumer in a unique location and that's huge opportunity for us.
Kyle Evans: Great. Thank you.
Operator: This concludes today's question-and-answer session. I'd like to turn the call back over to today's presenters for any additional or closing remarks.
Michael Rapino: All right. Have a great summer. Thank you all.
Operator: Once again, that concludes today's conference. Thank you for your participation.